Operator: Good day, everyone, and welcome to the Amdocs Second Quarter 2012 Earnings Release Conference Call. Today’s call is being recorded and webcast. At this time I would like to turn the conference over to Ms. Liz Grausam, Vice President of Investor Relations for Amdocs. Please go ahead, ma’am.
Elizabeth Grausam: Thank you, Isa. Before we begin I would like to point out that during this call we will discuss certain financial information that is not prepared in accordance with GAAP. The company’s management uses this financial information in its internal analysis in order to exclude the effect of acquisitions and other significant items that may have a disproportionate effect in a particular period. Accordingly, management believes that isolating the effect of said events enables management and investors to consistently analyze the critical components and results of operations of the company’s business and to have a meaningful comparison to prior periods. For more information regarding our use of non-GAAP financial measures including reconciliations of these measures, we refer you to today’s earnings release which will also be furnished with the SEC of a Form 6-K. Also, this call includes information that constitutes forward-looking statements. Although, we believe the expectations reflected in such forward-looking statements are based upon reasonable assumptions, we can give no assurance that our expectations will be obtained or that any deviations will not be material. Such statements involve risks and uncertainties that may cause future results to differ from those anticipated. These risks include but are not limited to: defects to general economic conditions and such other risks as discussed in our earnings release today, and at greater lengths in the company’s filings with the Securities and Exchange Commission including in our annual report on Form 20-F for the fiscal year ending September 30, 2011 filed on December 8, 2011 and our form 6-K furnished for the first quarter of fiscal 2012, on February 14, 2012. Amdocs may elect to update these forward looking statements at some point in the future. However, the company specifically disclaims any obligation to do so. Participating on the call today, are Eli Gelman, President and Chief Executive Officer of Amdocs Management Limited; and Tamar Rapaport-Dagim, Chief Financial Officer. Following our prepared comments we’ll open the call to Q&A. With that let me turn the call over to Eli Gelman.
Eli Gelman: Thank you, Liz, and good afternoon to everybody on the call. Today we are pleased to announce that our second fiscal quarter is on where we’ve seen our guidance for revenue, EPS and margins. Similar to last quarter, I will separate my discussion of business strengths into two areas: AT&T and everything else. Also similar to last quarter, the trends remains quite different between AT&T, our largest account, and the vast majority of our business. Last quarter we discussed that AT&T put certain programs on hold following the cancellation of the T-Mobile merger. Furthermore, we spoke about last quarter that we have limited visibility into AT&T plans as they were just beginning to formulate their new priorities. During our second quarter we gain greater clarity of AT&T ICE expanding plans, and we now understand that the ICE activity levels will be lower than our expectations a quarter ago. Nevertheless we continue to have high confidence in our strategic partnership with AT&T. Our business deal stretches across multiple lines of businesses by incentive and activities. So what has changed is that the new discretionary IT spending has been quite slow to resume after the merger cancellation. As such, new projects are not being initiated as the sufficient volume to replace projects comes into completion. What has not changed is that we remain confident in the strength of our large recurring revenue base with AT&T. So, we really do view this as a shift in timing of discretionary project and not a structural problem at AT&T. Reinforcing this last point, during the second quarter we hosted a large group of very senior AT&T executives at our R-descended in Israel to focus on their future initiatives and our relevant offerings. We continue to see great opportunity within AT&T to grow our business and to help our customer execute against its strategic goal. I will now turn the discussion to the majority of our business where the tone is quite different. We continue to see solid dementrants and strong signal signings during the second quarter, especially in the emerging markets and Europe. Our results in the emerging markets speak for themselves, with revenue tracking to be up in double-digits for the fiscal year. We continue to see strong momentum across Southeast Asia and Latin America with both new and existing customers. Additionally we are also excited by the signing, the arising level of interest in Managed Services within the emerging markets. This provides further evidence that our unique combination of products, Professional Services and Managed Services is well excessive value proposition in these regions and globally. Today we officially announced our activities with Globe in the Philippines. We first spoke about Globe in November when the customer disclosed it had selected Amdocs for its BSS transformation program. We are now proud to announce that the deal was signed during the second quarter with significantly expanded scope. In Globe we will provide full transformation of the customer BSS and business intelligence data warehouse systems, include prime system innovation services and seven years support commitment. Additionally, we continue to drive strong momentum in CALA, our Caribbean and Latin America region, including the deal we announced today at CNT in Ecuador which spans both BSS and OSS. During the quarter we also announced a BSS and OSS win at Telecom Italia Mobile Brazil including consulting, integration, implementation services to support the TIM Fiber residential broadband services. This deal follows a separate transformation program, Win a TIM, that we announced about a year ago. We are also making good progress with follow-on sales with other customers in this region. We believe this clearly demonstrates that our customer relationship model of initial penetration, strong execution and then follow-up expansion is working well also in the emerging markets. In Europe we are happy to announce three important expansions of our relationship with the Vodafone Group. At the Vodafone Group level we signed an important global licensing agreement. This is a commitment to Amdocs with a strategic partner and is a strong endorsement of our position within the Vodafone Group. As we also announced, the first deployment under this global agreement at Vodafone Netherlands, where we are currently in the process of modernizing the full BSS tech to our most recent Version 8.1. Overall in Europe we continue to monitor the economic situation closely, but we believe that Europe will remain a growth engine for us in the near future. To sum up the business review, we are currently experiencing some weakness at AT&T that is unique to that customer and is related to shifts in their business priorities. This weakness is overshadowing what is otherwise shaping up to be a pivotal year of success at Amdocs. The rest of our business is actually over-performing and therefore partially compensating for AT&T. Importantly, we continue to expect quarterly sequential revenue growth to accelerate in the third and especially in the fourth quarter as new project activities are ramping up. This view has not changed and we are executing well towards this accelerated growth. Even with the unexpected headwind to revenue, we are raising our outlook for 2012 non-GAAP EPS growth. Our internal investments in training and knowledge are helping to drive stable to improving operating margins as anticipated. Additionally we remain committed to our share buyback program. Last but certainly not least, today we announced that the Board – our Board of Directors approved the initiation of $0.13 quarterly dividend program. This decision was made in the context of our ongoing review of our long-term capital allocation policy. In general we will continue to take a balanced approach to our capital allocation ensuring that we have sufficient cash to execute against our strategic growth initiatives, including M&A as a first priority, while returning excess cash to shareholders over time. Tamar will provide much greater details on our future plans and how the dividend fits within our long-term capital allocation framework in a few minutes. To close, all in all I feel good about our business. We believe that the trends at AT&T are specific to this account and we will continue to support our largest customer as it measures its priorities. Amdocs has a unique competitive position and we are winning the deals that matter in this market, like those at Globe, T-Mobile Brazil and Vodafone. Additionally, we believe we bring strong value proposition not only to our customers but also to our shareholders, further reinforced by the introduction of the dividends today. With that, I will now turn the call to Tamar.
Tamar Rapaport-Dagim: Thank you, Eli. Second quarter revenue of $809 million was within our guidance range of $800 million to $820 million. Favorable foreign currency fluctuations provided an approximately $1 million benefit to sequential revenue growth over the first quarter of 2012. Our second fiscal quarter non-GAAP operating margin was 16.6%, up 10 basis points from Q1 and within our expected range of 16% to 17%. Our margin performance reflects the benefits of the investments we made in internal productivity, developments, and delivery capabilities, even as we aggressively expand our business into new customers and territories. Below the operating line non-GAAP net interest in other expense was negative $1 million in Q2. For forward-looking purposes we continue to expect that net interest in other expense may be negative in the range of few million dollars quarterly primarily due to foreign currency fluctuations. Non-GAAP EPS was $0.67 in Q2 compared to our guidance range of $0.62 to $0.68. We would also like to call attention to our diluted GAAP EPS of $0.60 for the second fiscal quarter which was higher than our $0.50 to $0.58 guidance due to a $0.04 one-time gain resulting from the sale of the company’s remaining investments in Longshine. Free cash flow was $53 million in Q2. This was comprised of cash flow from operations of approximately $75 million left $22 million in net capital expenditures and other. This result includes an annual cash bonus distribution for the prior fiscal year. DSO of 69 increased quarter-over-quarter by two days but remained within our normal range. Our total deferred revenue both short-term and long-term was down in total to $21 million sequentially while total and billed receivables were up $12 million as compared to the first quarter of 2012. The increase in billed receivable was primarily related to timing differences between invoicing milestones and delivery progress in projects. Our cash balance at the end of the second quarter was approximately $896 million. Our 12-month backlog, which includes anticipated revenue related to contracts, estimated revenue from managed services contract, letters of intent, maintenance and estimated ongoing support activities was $2.725 billion at the end of the second quarter, up $35 million sequentially and up 5.2% year-over-year. During the second quarter we repurchased $117 million of our ordinary shares pursuant to our authorized share buyback program. As of March 31 we had $431 million of remaining repurchase authority under our current $1 billion authorization which extends through February, 2013. Looking forward, we expect (audio gap) in a range of $805 million to $825 million for the third fiscal quarter for 2012. This range includes minimal anticipated sequential impact from foreign currency fluctuations as compared to Q2. We anticipate our non-GAAP operating margin in the third quarter to continue to be within a range of 16% to 17%. We also anticipate that our non-GAAP tax rate will be in the range of 13% to 15% and we expect Q3 non-GAAP EPS to be in a range of $0.64 to $0.70. Incorporated into this view is an expected average diluted share count of roughly 170 million shares in Q3 and the likelihood of a negative impact from foreign exchange fluctuations. We excluded the impact of incremental future share buyback activity during the third quarter and the level of activity will depend on market conditions. For the first fiscal year we now expect – sorry, for the first – for the fiscal year we now expect revenue growth of $0.03 to $0.04 on a constant currency basis, a write-down from a prior outlook of 5% to 6% growth. I want to provide context on the magnitude of the change to our outlook with AT&T and how it impacts our total company forecast. At the beginning of the year we expected AT&T to be up in the mid-single-digits. And now we expect it to be down in the mid-single-digits. As we have often said, yearly fluctuations of a few percentage points up or down with any particular customer are normal. However, there are two things unique about the situation in AT&T. First, as most of you know, AT&T accounted for 29% of our 2011 revenue, so our exposure was quite high to even this normal fluctuation, specifically at this customer. As a result, the change in growth expectations of AT&T accounts for about three percentage points of growth for the whole company in fiscal 2012. Second, the block nature of the merger consolidation caused a very rapid change in AT&T’s priorities within this fiscal year. In most instances we have much better and alial visibility into such a change in spending levels, and therefore a greater ability to plan around it. While we highlighted risks around AT&T last quarter, the revision to our outlook of AT&T was greater than we anticipated. On a more positive note, the rest of the business is actually out-performing our initial expectations for the year in that we revised our guidance range by only about 2%. We also continue to expect sequential growth rates to accelerate in Q3 and Q4 as we have initially planned. Our forecast for reported revenue assumes roughly 0.5% negative impact as a result of foreign currency movement, so reported revenue growth year-over-year is now expected to be 2.5% to 3.5%. I also wanted to quickly comment that we expect Directory business to be down in the second half of the year relative to the first half. We have updated our non-GAAP EPS growth outlook to at least 12% to 14% from at least 11% to 13% and we factored in the benefit of our Q2 repurchase activity and our solid margin performance. Consistent with our practice, this EPS outlook does not include any future repurchase activity. We anticipate fiscal 2012 non-GAAP operating margins to remain within a range of 16% to 17% for the year. At this point in time we expect that margins in the second half of the year will be roughly similar to those achieved in the first half. Before Q&A I want to add some perspective on our capital allocation program. As Eli mentioned, the dividend initiation is the next step in our long-term capital allocation planning, which we also discussed with our Board this quarter. For context, over the past two years we have been repurchasing stock at an accelerated pace greater than 100% of our free cash flow. Our decision to execute this share repurchase plan was driven by an elevated net cash position and the valuation of the stock. Following the planned completion of our current authorization, which expires in February, 2013, our expectation is to continue repurchasing stock, albeit at a more moderate pace than in the past two years as our net cash balance has come in significantly. As a rule of thumb when thinking about the long-term plans, we believe we can distribute roughly half of our annual free cash flow to shareholders through a combination of dividends and share repurchases. To be clear though, we will maintain discipline with our repurchase activity with regards to the valuation of the stock. Furthermore, we believe this framework will allow the company sufficient flexibility to fund its strategic growth both organically and inorganically. It will be a balancing act as priorities shift from year to year, but we wanted to share with you our thought process about long-term capital allocation. With that, we can turn it back to the operator to begin the question-and-answer session.
Operator: Thank you. (Operator Instructions) Our first question comes from Jason Kupferberg, Jefferies.
Jason Kupferberg – Jefferies: Hey, thanks, guys. And thanks for all the disclosure here around AT&T and otherwise. Maybe you can just clarify what your mix at AT&T from a revenue perspective is in terms of project-based revenue versus recurring, because obviously it sounds like the project-based piece is what’s being impacted by some of the change in your spending plan.
Tamar Rapaport-Dagim: The majority of the activity in AT&T is around what we call the more recurring level of activities including both managed services and things that are not necessarily contractually committed for the long term, but are recurring in nature. Although a relative smaller part of the revenue we have in AT&T is impacted by discretionary spending, this is the more volatile part by nature and as we said before, it’s enough that we will have a couple of percentage points movements in an account like AT&T, that this can move the needle for the whole company.
Jason Kupferberg – Jefferies: Right. Okay, that makes sense. And I guess as people start thinking about fiscal 2013, because you’ve made it clear that AT&T’s plans are going to impact you for the balance of this current fiscal year, but what do you know, what do you sense at this point that would give folks comfort that there wouldn’t be potentially another step down in discretionary spending as you move into your next fiscal year? I just wanted to get a sense of what the visibility might be like there based on the conversations that you’ve had with AT&T in terms of getting a handle on the fact that hopefully this is kind of a one-time adjustment and then you’ll at least equalize if not improve from these levels?
Eli Gelman: So Jason, thanks for the question. Maybe I can add something and then Tamar could continue. Obviously when you get to AT&T it’s harder to predict, but we don’t think it’s a linear thing, so we don’t expect another drop of this discretionary the same volume next year. It’s not something that would be, in our opinion, something that would happen again that soon. We may see some reduction. As a matter of fact, in general we believe the business after this reduction will start growing again at AT&T because we have some previews to their future plans and we hope to be a part of these plans, but the history shows that usually we are; maybe not 100% of it but to a large extent. And we continue to be the most strategic IT supplier for AT&T and we don’t see a structural or competitive environment that may change, not to mention that we have new initiatives within the network space. That we draw to machine to machine other activities and we hope to see them coming into play on top of what we have today in the future. So, we expect actually, AT&T, after this reduction and stabilization period to start growing again.
Jason Kupferberg – Jefferies: And maybe if I can just add one more question to the mix. Turning to the emerging markets side of things where obviously the good news continues to flow there with some of your latest deal announcements. How should we think about the time it will take to really ramp some of those recent emerging markets deals up to a fall revenue run rate? I’m assuming it’s probably multiple quarters, but just to feel you out on that.
Tamar Rapaport-Dagim: In many of the cases of the deals and emerging markets, we are thinking about it in the context of building the long-term relationship. So, we’re not just looking on the initial deal side, and the penetration point let’s call it, the most important part is the fact we can actually create this relationship to be a recurring one, one that can expand, and this is exactly the color we were trying to share with you that we are already to starting to see in areas, or in accounts in which we penetrated to see these kinds of expansion. Whether it’s in the mold of additional projects that is coming with another part of our portfolio, whether it’s in the mold of expansion into more of a longer term contract, and what’s exciting is we are also seeing the interest level around many services increasing with some early signs of success. So, I think it’s quite exciting overall, and to add kind of give additional color on the sizing we believe that many emerging market customers can definitely become quite significant for us, even this year. We actually run some forecasts and see that it’s quite possible that two names at least in emerging markets with enter our top ten customer list already this year. So, it’s definitely starting to move the middle in terms of the progress we’re seeing there.
Jason Kupferberg – Jefferies: Okay. Understood. Thank you for the color, guys.
Eli Gelman: Sure thing.
Operator: (Operator Instructions) Up next we’ll hear from Ashwin Shirvaikar, Citi.
Ashwin Shirvaikar – Citi: Thank you. Thank you, guys, for the dividend. I guess my first question is on the CNT contract that you guys announced, also saw that you signed a – what looks like a much broader channel agreement with IBM for all of CALA. Can you talk about the market potential in CALA from this deal and how this agreement with IBM might work?
Eli Gelman: Ashwin, thanks for the question first of all. In terms of CALA, we see expansion in CALA in all possible dimensions, on the product side, the services side, different countries and again we thought maybe we’ll have it only in Brazil but now it goes into Ecuador and Columbia and Chile and other places. And as such we are becoming a favorite partner to other players in the region. And we believe that this relationship with IBM will be beneficial for both companies. We’ve teamed up with IBM on several opportunities in the last year, on both sides of the emerging markets as a matter of fact. And this announcement is just articulating a process that has been going on for quite some time. We are excited about it; I think that they are excited about it, I know that they are. And we may end up with having more relationships in this region as we are really becoming very active in many dimensions of this market.
Ashwin Shirvaikar – Citi: Okay. My follow-up is on – back to AT&T. I guess wasn’t backlog affected downward by AT&T also? And what’s your current visibility into AT&T for the remainder of this year? Is it stable now?
Tamar Rapaport-Dagim: So naturally backlog is impacted by AT&T; and despite this impact we are seeing an overall increase in the backlog sequentially and also we’re looking at it of course year-over-year. We are not necessarily again giving specific visibility per customer here, but as I said before, the bulk of activity within AT&T is recurring in nature. And I think that it’s very important to understand that we are working within AT&T across many lines of businesses, many buying centers; again it’s not all guaranteed. And as we always say, even if you have a long-term contract you have to deliver in an excellent way in order to maintain this relationship over time. And we believe we are performing very well against those commitments. And therefore should continue to see stability in the recurring areas.
Ashwin Shirvaikar – Citi: Okay. Thank you then.
Eli Gelman: Thank you.
Operator: And next we’ll hear from Tom Roderick, Stifel Nicolaus.
Tom Roderick – Stifel Nicolaus: Hey, guys. Good afternoon. So, Eli, I apologize I jumped on just a couple minutes late and you may have detailed some of the priority shifting at AT&T. Just kind of wondering if you could go into a little bit more detail about where those priorities are shifting to, projects are going from where to where? And as it related to the cost structure, should these priorities continue to shift away from your core strength and continue to delay some of this re-acceleration from AT&T? Do you have the flexibility on the cost structure to kind of move the cost down as it relates to that one specific customer?
Eli Gelman: So Tom, thanks for the question, actually several questions within this comment on AT&T. First of all, the deviations that we see is versus a plan that we had initially because we thought about few mid-digit percentage growth within AT&T and we will see minus few – percentage so the overall fluctuation if we are calculating around 3% headwind you can understand that it’s a the deviation between what they expected and what the reality is about $90-plus million. So this is quite significant. But it’s not a shift from our core strength or anything like this. It’s not like they took projects from us and gave it to a competitor who got the bid or they internal IT. None of that is the case. What we see is they just delayed new projects. Usually, in AT&T, as big as AT&T are, they are initiating a lot of projects it’s an early adapter company, if you will. So what we are seeing is that the new projects are being delayed, and not compensating, if you will to some of the programs that we started two, three, whatever, six quarters ago. So this is kind of the dynamics that we see there. It’s not a shift from our core. In general, I’m not talking about AT&T right now, because I don’t want to speak about AT&T only, but in North America and in other places you can see it also. There is a trend of shift of expenses. When AT&T overrides, or anyone else, is going into heavy investment into the 4G for example. Obviously, they take most of their discretion expense and they put them on the new network, and only lagging behind it is usually, in the industry, we’ve seen this cycle several times in the past. IT projects come along afterwards to make sure they can monetize all this investment. So it’s part of the overall shift as you can see. And obviously, all of us can see the amount of money that is being spent in North America in general on the 4G. So that’s also part of the overall trend. The reason why we believe it’s something that will recover is first of all because we are talking and walking with AT&T on all kind of new initiatives. They are shifting more energy towards data and vocalating IT. As you know, we are very strong in this space as well, so we don’t think it’s – they are shifting away from our core strengths at all. I hope that I gave you some color that can help you.
Tom Roderick – Stifel Nicolaus: Yeah, that’s great. That’s very helpful. And follow-up question for me, just in thinking about the capital allocation, so you’ve clearly been very generous with the buybacks, now we’ve got a dividend. In thinking about the M&A prospects here, are you – maybe you just provide some commentary on what you’re seeing out there in the marketplace? We haven’t seen much from you in a while, is it a reflection that the valuations in the marketplace aren’t very appealing? You’re not finding enough that sort of moves the needle? Just maybe some reflections of what you’re seeing in the M&A marketplace and what would be appealing to you?
Eli Gelman: Well, so maybe I can expand on your question, make sure that we are on the same – we are all on the same page because we try to give as much color as we could on the dividend as well in the bigger context. So the way we see it is that we want, there’s a framework. And don’t take it as a guidance or any specific number, but as a framework we want to spend about half of our – in the future, okay. Half of our free cash flow on strategic initiatives and accumulate more cash for strategic moves, which includes M&A of course. And the rest of it will be between the dividends and buyback, and the dividends obviously something relatively – not relatively, very committed and strong and the buyback probably will fluctuate, depends on strategic moves. So this kind of really a framework how we think internally. And we are committed to finish the – or complete the current authorization of the buyback and as this one wears off it probably will come up again based on the framework I just gave you with new plans. In terms of M&A, without specifically relating to any one specific thing, we made relatively recently the acquisition of Bridgewater, which was a typical augmentation and acceleration of a product that we saw that it will be much faster to augment our ability with this acquisition. We may see a couple of those in the future as we evolve our product set, but I don’t expect really big, big transformation there because we strongly believe that, that will have a really superior technology and we will need to augment it from time to time, but not to the level that we need to do something very significant. The other components obviously consolidation of the market, we are still by far the leading provider which we always like to be, stronger if the opportunity arises. And of course to get into new fields, either within our space, adjacent to our space or further alongside to our space. So in a way we keep our options open to all, but I try just to give you maybe some color on some of the things that we have.
Tom Roderick – Stifel Nicolaus: That’s great. Thanks so much.
Eli Gelman: Thank you, Tom.
Operator: Next up from Oppenheimer and Company, Shaul Eyal.
Shaul Eyal – Oppenheimer & Company: Thank you. Hi. Good afternoon, guys. Quick question...
Eli Gelman: Hi, Shaul.
Shaul Eyal – Oppenheimer & Company: On my end. Hey, Eli. Are you guys hiring? And if so, is this R&D? Is it sales? What department?
Eli Gelman: First of all we are hiring. In general what you can see is that the internal efficiency of the company is improving, so we – we don’t need maybe as many people per every $10 million additional revenue as we probably needed in the past because that’s part of the efficiency. On the other hand obviously A, we have some attrition, so we need to replace some people. We have betterment process in the company every single year; we’re releasing the long – the end tale of the local foreman because we strive to be excellent in everything we do. So we have to replace these individuals. And in certain areas we recruit on top of that, just to give you an idea right now because of the announcement we just made I can share it with you, we are recruiting people right now in Manila for a major project that we are ramping up. We are recruiting people in Brazil and in other places in Latin America and a few others. So I think that’s probably sum up the color of the hiring.
Shaul Eyal – Oppenheimer & Company: Got it. That’s good color. Thank you for that. One more thing, what are the specs, so I know you spoke about obviously AT&T, spoke about the CALA and emerging markets customers, other emerging markets customers, what’s the status of Sprint right now?
Eli Gelman: Alive, kicking and well. That’s the short version of it. We – at Sprint we keep running, implementing significant projects as we move on. I think that the customer did not disclose specifics, but I can give you maybe some idea Sprint is improving and putting a lot of emphasis of customer experience. And the whole relationship with the customers, which is in Amdocs space is under the customer management, the CM. We just finished recently a very important implementation in the customer management space with very good results for us and for Sprint. And we see some new initiatives altogether good customer, good relationship. We’d like to duplicate those.
Shaul Eyal – Oppenheimer & Company: Okay. Got it. That is great. Thank you very much and congrats on the dividend.
Eli Gelman: Thank you.
Tamar Rapaport-Dagim: Thank you.
Operator: Up next is Shyam Patil, Raymond James and Associates.
Shyam Patil – Raymond James & Associates: Hi, guys. Good afternoon. Eli, you talked about kind of the lag between the network spend and the spin on Amdocs core solution. When you look at the 4G network spend, when do you expect that to translate into demand or revenue to Amdocs for its core solutions, maybe based on some of the previous cycles you’ve seen? Is that a year out? Is it two years out typically? How should we think about that?
Eli Gelman: It’s a good question and it’s a hard one to answer. I think that usually it’s around a year, sometimes more, depends on how big the investments are. What they usually would see in I would imagine North America and also in some other advanced market, you may see some initial projects on around the OSS, for example, because they need to provide for inventory, new components, new fiber optics like we announced now on fast implementation in TIM Brazil. And then you see more and more additional sophistication getting into their BSS, but it’s measured in probably a year lag. It’s not the quarter and it’s not two or three years. So maybe that’s the best I can give you. Sorry for not being more specific. It’s just that it’s really hard.
Shyam Patil – Raymond James & Associates: Okay. That’s helpful. And then initially when the AT&T T-Mobile merger was announced, you guys talked about it being positive and if it did go through and even if it didn’t go through. When you look at T-Mobile specifically and given the amount of cash they have on hand now and the living opportunity for an upgrade or kind of increasing projects there, how do you think about that opportunity and maybe if that’s something near-term or is that something more intermediate to longer-term for Amdocs?
Eli Gelman: Shyam, I’ll tell you. The one thing, by the way we did not and I think very few people could predict it, abrupt pull off of this deal and that effects obviously some of our expectations and also, by the way, the response of AT&T to the situation because they moved so quickly into not doing the deal. They had to shift priorities internally, because a lot of the things they lost before the cancellation for about for six maybe eight months was geared all toward the merger. To your question specifically about T-Mobile, we believe T-Mobile represent an opportunity for us because at the end of the day T-Mobile is a very strong company. They are alive. They are fighting. They need to improve their BSS and also systems and customer experience and everything else. We are strong provider to AT&T Mobile. It’s no guarantee that we will get the other businesses, but we believe that in the future, I’m not saying in the next quarter or two. But in the foreseeable future several quarters down the road. We may see an expansion for our business in T-Mobile though at least we hope to see.
Shyam Patil – Raymond James & Associates: Great. Thank you for all the color.
Eli Gelman: Sure.
Operator: Next up from JP Morgan is Sterling Audi.
Sterling Audi – JP Morgan: Yeah, thanks. Hi, guys. I apologize, I jumped on late. But, just kind of think about the strength in the emerging markets Latin America versus what you described to AT&T. Wondering at what point do you think you can find enough strength in these other areas to offset some of the sluggishness that you’re seeing temporarily at AT&T to get to the point where maybe the revenue accelerates back to the previous expectation?
Eli Gelman: Sterling, thanks for the question. Obviously, we don’t see it in a high probability at all for the remainder of this year; otherwise we would not go through this guidance framework. But we believe that we move forward, two things will happen. We don’t expect, we don’t have any reason right now to expect, that the emerging market will perform less. They should keep on growing significantly. And we expect AT&T to do eventually to come back and start growing again. As I mentioned, I made this comment before, maybe you didn’t hear it. We cannot put a real time stamp on there, but AT&T is strong, active. They just had a shift of time and property on authorities and as expected after such a major non merger, if you can call it this way, but we don’t think that AT&T has got to be real or a slow company, something like this. And as we, as they come back to their shifting back priorities and as we are a strong provider today and we make every possible effort to keep – to be very relevant to them on some new initiatives, we expect to get a nice portion of this growth. So if you combine the two, I think we can go back to the range that we like to be and hopefully even further if we can find additional growth engines in the meantime.
Sterling Audi – JP Morgan: Okay.
Tamar Rapaport-Dagim: One thing I would add...
Eli Gelman: As a follow up to that...
Eli Gelman: Go ahead, Tamar.
Tamar Rapaport-Dagim: Just to add, Sterling, also on AT&T it wasn’t built in a day, the capacity and volume of business we have there. And so this kind of relationship and buildup of this kind of magnitude takes time, but as I indicated earlier, we do have very good signs. We’re already now emerging market customers are becoming very meaningful for us, and that’s after a very short time of activity in these regions. So we definitely see the possibility and potential of emerging markets customer to become very meaningful for the company.
Eli Gelman: Just to give you by the way a rough back of the envelope calculation, please don’t take it as a guidance, you can actually reverse engineer from some of the numbers. But if you – our guidance suggests that if you do all the math, you will see that we would hope to cruise at an altitude of $840 million in quarter four like a rough midpoint. So we talk about some growth and different level of activity right there, and that’s with the AT&T headwind. The growth factor that you’re talking about is everything that we tried to comment between my comments and Tamar’s comments, but we actually seeing or expect to see this accelerated growth that we expected starting in quarter three and then going into quarter four. With this I have to – I warn you that don’t take quarter three, quarter four over quarter three as a sequential growth looking forward this early. It’s not sustainable, but it is a different level of activity. And for us it’s exciting, not to mention that we hope to get eventually to this high water mark in exceed it again.
Sterling Audi – JP Morgan: Okay. Thank you, guys.
Eli Gelman: Thank you.
Operator: Our next question today is from Daniel Meron, RBC Capital Markets.
Daniel Meron – RBC Capital Markets: Hi, Eli and Tamar. Congrats on the initial dividends here, they’re very promising. So just to go back into an area that you didn’t talk as much about, the Operating Support Systems business, what are the trends there? Do you see sort of traction in that business? Or where are you guys with the product?
Eli Gelman: Daniel, on the OSS, the Operations Support System, it’s not necessarily that we see the same trend exactly all over the world, but in certain areas of the world for sure, and we announced specifically this quarter significant projects both in Brazil and in Ecuador. But we see it in other places too. We see progress. We see progress because we have a very – we have a very good product. We are the only company that actually can combine services from the same shop on the OSS products today. And we can demonstrate readily much shorter than the typical project of BSS because of the nature of the business has nothing to do with our products or services, it’s just that the implementation there are more standardized so that – so you can get to proven results quicker. And that’s for us good news in two aspect: A, business by itself; and – but the second thing is it’s a penetration tool for us and we see later on, and we’ve seen it already happening, that we start from OSS smaller scale or medium-scale projects and we end up with larger BSS transformation. And as such we are the only company that can demonstrate the value of the BSS voice exchange integration as well. So from different angles we see this as a strong point for us. As I said, I called it about a year ago a diamond in the rough. It’s better shape now and vertapolic but it’s not shining to the level that I want it to be.
Daniel Meron – RBC Capital Markets: Okay. Thanks. And on the tiered billing side, Algera billing, et cetera, what are the trends that you’re seeing right now? Is that the main area of discussion with carriers, or is it like leading to additional transformational projects? Where do we stand with that, more related to LT deployments or just changes with anterior thinking?
Eli Gelman: Well, data building or data monetization in general is a field in its infancy, if you will. What you basically see around the world including North America but not only that the – all the carriers more or less announce that they are dropping their rate as much as they can programs. Very few of them came up, already, with new programs to replace it. So, that is part of the position we see. We believe that we are ahead of the market, as we should be, in terms of our thinking and ideas and software and services to monetize the data. So into this environment, what we see is that first of all we are soft leaders and we have a lot of workshops and proof of concepts and pilots in many places. We start seeing some of them turning into projects. In the beginning it will be as expected, smaller projects. But we believe it will become within the next couple of years, or maybe few years the main stream of the business. So, this is the trends that we see. And luckily or smartly and we are ahead of the market and we are there and we have really began to operate in this space. Which, by the way, some of it the Bridgewater acquisitions, some of it is our Turbo Charging, some of it is our APAC, our enterprise for the (inaudible) that has been upgraded. We have done it in several different angles. But, we are really head of the market in this place.
Daniel Meron – RBC Capital Markets: Okay. Thank you. Good luck.
Eli Gelman: Thank you, Daniel.
Operator: Up next is David Kaplan, Barclays.
David Kaplan – Barclays: Hi. A quick question. Can you talk a little bit now that you’ve increased your distribution by adding the dividend, can you talk about if there’s any impact on the Israeli side from tax shelters that you have with the Office of the Chief Scientist?
Tamar Rapaport-Dagim: We don’t have any programs with the Chief Scientist in Israel. Not relevant to us at all.
David Kaplan – Barclays: Okay. So as the – so you don’t – is that to say that you no longer have approved status there?
Tamar Rapaport-Dagim: We have an approved enterprise established for tax, income tax purposes, which is something else. Our cash is not held necessarily in Israel. We have – we are domiciled in Guernsey and the bulk of the cash is actually under the ultimate parent company. So, no limitations or no offshore trap cash issues that should worry you.
Eli Gelman: The short version of it, David, is that we don’t see any problem with that at all.
David Kaplan – Barclays: Okay. Great. And then, can you talk a little bit about the emerging markets again. That you and some of the other companies in your fields have all been talking about emerging market growth. Can you talk a little bit about pricing in those regions, and how is that relative, or margins in those regions and how is that relative to what you’re seeing in developed markets?
Eli Gelman: Well, David, before I answer your question there I want you not to forget Europe. I know that a lot of people wrote it off, but for us its growing business, we keep monitoring it very, very carefully. But this – we just announced another Vodafone expansion but we see other areas as well. So not too many companies are talking about that. Going back to your question...
David Kaplan – Barclays: I guess you want to answer that too, I’d love to hear about pricing and monitoring in Europe as well.
Eli Gelman: Okay. That’s a good point. But especially for pricing in the emerging markets, the original question, we are I think – it depends on the market, it’s not exactly the same thing to compare Southeast Asia with CALA. And within the Southeast Asia it’s not exactly the same thing, but altogether there is a solid demand to our products and our services in – I would say it in one word, in good prices. We’re not coming with like a one-third or one-tenth of the price because it’s an emerging market. These markets are going to – they are skipping a generation. They’re going from all home-grown legacy systems to full modern system and the sophistication of these markets, the volumes and everything else, is not inferior to Sprint, AT&T or Vodafone. They’re using the same Version 8.1 that we use in Vodafone Netherlands. They use the same thing in Brazil or in Malaysia or any other place. So it’s an important topic, and as such – so we have some fluctuation of price and some of it, just in terms of the licensing and the overall scheme. The services, same thing. We do deploy people on the ground in those countries and there is some expected prices to some people, but altogether we manage – we are managing to provide our services at good premium. In general we said all along, because we are in a penetration mode, not in all accounts of course but in general in these markets, the profitability of these markets are not as you would expect in the stabilized, developed countries. But this is actually normal. By the way, it happened the same thing in Europe 10, 15 years ago when we were penetrating to more and more European countries, so with the fact that we manage to get good prices for these regions, in most cases higher than our competitors and with the fact that we see our business model of penetration, expansion later on after good execution. The fact that we see managed services on both ends of the emerging markets ramping up. With all these promises and victories, we are happy with this business in the emerging markets. As to the challenge with the European pricing, actually it’s a good business for us, Europe. Some of the countries have a lot of issues but I think I mentioned it more than once in the past, we don’t work today with some of the more problematic nations almost at all and when you think about England and Germany and France and other places, it’s – Europe is a good place to do business in.
David Kaplan – Barclays: Great. Thanks very much.
Eli Gelman: Thanks, David. Thanks.
Operator: Now we’ll hear from Scott Sutherland, Wedbush Securities.
Scott Sutherland – Wedbush Securities: Great. Thank you. Good afternoon. Eli, can you talk about a little bit that here you’ve been growing the emerging markets and doing good growth in some of your business but you hit a couple speed bumps with Bell Canada and AT&T. As you look out, do you see any other speed bumps or do you see some of the growth in the other businesses start performing – as you guided, Q4 should see good sequential growth – any other speed bumps you see out there that worry you?
Eli Gelman: It’s a very complicated question. I’m trying to scan in my head something of size. I would say one that we mentioned, not to the same size (inaudible) but we see is the deterioration of the business directories, yellow pages that we see all around the world. And we may try to get the maximum mileage out of it as well. But that’s a continuous bump, if you will. Not a specific speed bump. I can see one customer here or one customer there that may slow down the expansion with us because of their business. I don’t see the situation that we may have had like a year or two years ago in some cases of changes of the implementation. Topics like this that are related to our own execution because we stabilized this thing. And our product is really excellent and our delivery organization is working almost as a Swiss watch. But if it’s a certain customer, because of their competitive environment, hit two quarters with our bed and they want to push some of the new initiatives a few quarters down the road. It happens all the time. As I tried to depict to you, to the world from the outside it looks like our world is very, very stable and very smooth. Underneath there is a lot of moving parts and fluctuation of few percentage up and down, because of business – mainly because of business reasons of our customers, are very, very natural. And in most cases we just compensate one for the other. When it comes to the same percentage fluctuation on AT&T, which is a singular type of account for us, it’s something that we can compensate only partly, and that’s what you see right now. But I don’t think – I’ll keep on thinking about it, if I think about something else I’ll relate it to you in the next call maybe. But I’m trying to give you the best from searching as we speak in my mind, that would be probably my answer.
Scott Sutherland – Wedbush Securities: Okay. That’s great. And my follow-up, maybe talk a little bit about Vodafone. As you progressed with this relationship with the parent company, obviously in history you’ve been good in some regions of Vodafone but not in other regions. Are you seeing opportunities that may open up in other regions where you haven’t been existent, like Southern Europe or Asia Pacific or those regions?
Eli Gelman: It’s a very good question. I think that’s part of the reason why we are so excited about the Vodafone Midlands Pacific which is a specific implementation under the Global agreement. So the Global agreement shows the direction and the importance and the positioning, the strong position that we have. But the Vodafone is basically the proof itself. We intend to do a very good job there and as such, we believe that Vodafone would have an interest to try and see if they can implement the same thing in other places, either within Europe or Asia-Pac or India, whatever. So we see – and we see some activities in other places today as well, but some of them we did not announce. Some of them aren’t in the size that is worthwhile to bother you with. But I’m actually looking forward with realistic hope that good implementation of this business transformation in Vodafone can lead to new initiatives, because it’s a brilliant project. I cannot elaborate right now, but I hope that it will turn also to new projects within Vodafone and new regions as well.
Scott Sutherland – Wedbush Securities: Great. Thank you.
Eli Gelman: Thanks, Scott.
Operator: And that is all the time we have for questions. I’d like to turn the call back over to our speakers for any additional or closing remarks.
Elizabeth Grausam: Thank you, Lisa. We look forward to seeing many of you tomorrow when we have Rami Schwartz, our President of the Product Business Group presenting in the morning. And thank you for your continued support of Amdocs, we really do appreciate it. Take care. Have a great night.
Eli Gelman: Thank you.
Operator: Everyone that does conclude today’s conference. We would like to thank you all for your participation.